Operator: Hello, everyone, and welcome to the ACCO Brands Third Quarter 2025 Earnings Conference Call. My name is Ezra, and I will be your coordinator today. [Operator Instructions] I will now hand over to Chris McGinnis, Director of Investor Relations to begin. Please go ahead.
Christopher McGinnis: Good morning, and welcome to ACCO Brands Third Quarter 2025 Conference Call. This is Chris McGinnis, Senior Director of Investor Relations. Speaking on the call today is Tom Tedford, President and Chief Executive Officer of ACCO Brands Corporation. Tom will provide an overview of our third quarter results and provide an update on our 2025 priorities. Also speaking today is Deborah O’Connor, Executive Vice President and Chief Financial Officer, who will provide greater detail on our third quarter results and our outlook for the full year. We will then open the line for questions. Slides that accompany this call have been posted to the Investor Relations section of accobrands.com. When speaking about our results, we may refer to adjusted results. Adjusted results exclude amortization and restructuring costs, noncash goodwill and intangible asset impairment charges and other nonrecurring items and unusual tax items and include adjustments to reflect the estimated annual tax rate on quarterly earnings. Schedules of adjusted results and other non-GAAP financial measures and a reconciliation of these measures to the most directly comparable GAAP measures are in the earnings release and slides that accompany this call. Due to the inherent difficulty in forecasting and quantifying certain amounts, we do not reconcile our forward-looking non-GAAP measures. Forward-looking statements made during the call are based on the beliefs and assumptions of management based on information available to us at the time the statements are made. Our forward-looking statements are subject to risks and uncertainties, and our actual results could differ materially. Please refer to our earnings release and SEC filings for an explanation of certain risk factors and assumptions. Our forward-looking statements are made as of today, and we assume no obligation to update them going forward. Now I'll turn the call over to Tom Tedford.
Thomas Tedford: Thank you, Chris. Good morning, everyone, and welcome to ACCO Brands Third Quarter 2025 Earnings Call. Last night, we reported third quarter sales that were slightly below our third quarter outlook. However, our improved operating structure enabled us to meet our adjusted EPS outlook and improve gross margins by 50 basis points. Sales in the quarter were challenged by softer demand globally and trade down in some of our categories. The slower implementation of tariff-related price increases and the timing of forecasted revenue that moved out of the third quarter give us confidence we will see an improvement in the fourth quarter. We are making excellent progress on our $100 million multiyear cost reduction program, realizing an additional $10 million in savings in the third quarter. That brings the cumulative program total to approximately $50 million. We remain highly focused on managing all global spending to preserve profitability and cash flow. I am pleased with our team's work to mitigate the impact of incremental U.S. tariffs on our business. We believe we are well positioned to support our customers with our balanced and cost-competitive supply chain. We have implemented most of our price increases. However, the timing of those increases has lagged, impacting our outlook sales in the third quarter. We will see greater benefits from our pricing strategies in the fourth quarter. We closely monitor evolving trade policies and will take appropriate action, if needed, to mitigate the impact on ACCO Brands. Moving to our third quarter results. In the Americas segment, sales for the back-to-school season in the U.S. and Canada finished in line with our expectations, down mid-single digits. The decline was partially due to purchasing decisions by customers in response to tariffs early in the back-to-school season. Retailers continue to tightly manage inventory, resulting in minimal replenishment for the season. Our leading student notetaking brands, Five Star and Mead, grew market share in the season, highlighting the strength of our brands and the value they offer the consumer. In Latin America, sales were weaker than expected due to a constrained consumer as trade down was prevalent in the quarter. In Brazil, we began shipping the important stocking orders for their back-to-school season at the end of the third quarter, although softer than expected as customers delayed making purchasing decisions. We remain cautiously optimistic about our expanded product offering and the back-to-school season in Brazil. In Mexico, sales trends improved during the quarter across most categories. In the International segment, demand was mixed with Europe being soft, partially offset by increases in Australia and Asia. In our office categories, while sales declined, we maintained our market position across the segment. Transitioning to our global technology businesses, Kensington computer accessories sales declined modestly in the quarter, reflecting delayed business spending. In the fourth quarter, we expect a return to growth, driven by new product launches and a more robust end-user pipeline. In gaming accessories, PowerA sales declined in the quarter due to a combination of reduced demand for legacy consoles and timing for a Nintendo Switch 2 accessories. We expect solid growth in the fourth quarter for the gaming accessories category. We are well positioned for the important holiday season as PowerA is the first officially licensed Nintendo Switch 2 wireless controller in the market. Over the next 12 months, we have an impressive pipeline of innovative new products across multiple categories, many of which will have exclusive IP. Our product road map is strong and will give us momentum as we go into Q4 and next year. Turning to our Office Essentials and Learning & Creative categories. Global demand continues to be challenged. We have good syndication of our product assortment. However, the lower rate of sales is due to reduced demand in our core categories. We continue to refine our new product development approach to enhance our category positions, expand our assortment and enter faster-growing adjacencies like ergonomics and hybrid work offerings. We are optimistic this will improve revenue trends in the future. Let me highlight some of our new products that have been recently introduced. In EMEA, we are actively broadening our portfolio of lights branded ergonomic and hybrid work solutions. Our innovative offerings have received multiple design awards and represent an area of strong sales growth for our European business. We are now evaluating expansion beyond EMEA and have high expectations for our enhanced ergonomic product portfolio. In the U.S., we have introduced the West Village line by Mead. West Village offers premium products at accessible price points designed to appeal to today's value-conscious consumers. The product portfolio features a selection of notebooks, time management products and more, all of which have been positively received by our retail partners through gain syndication. Finally, we have successfully integrated the Buro Seating acquisition and are evaluating geographic expansion opportunities beyond Australia and New Zealand. This is an exciting category and serves as a platform to expand into new geographies as well as new product categories, such as gaming seating. As I conclude my remarks, we continue to monitor the evolving external dynamics that impact demand for our products. We remain committed to pivoting our business to higher growth categories while streamlining operations, optimizing our cost structure and inorganically enhancing our product portfolio. I am confident our team and our strategy will better position ACCO Brands for profitable, sustainable growth. Before I hand the call over to Deb, I would like to thank the employees of ACCO Brands for their tireless efforts in support of our strategy. I am proud of our team and the work we are doing to transform our company. I will come back to answer your questions. Deb?
Deborah OConnor: Thank you, Tom, and good morning, everyone. As Tom mentioned, third quarter sales were below the outlook we provided in August, while cost rationalization and strong controls led to adjusted EPS that was in line with outlook. Reported sales in the third quarter decreased 9% and including favorable foreign exchange impact of almost 2%. Underlying demand continued to be constrained by global macroeconomic factors, including consumer and business spending uncertainty and fluctuating tariff policies. As Tom mentioned, the timing of some forecasted shipments and the slower implementation of price increases in the U.S. also negatively impacted sales versus our outlook for the quarter. Gross profit for the third quarter was $127 million, a decrease of 8%, with the margin rate improving 50 basis points to 33%. While the dollar decline was driven by lower volumes, the improvement in the rate was due to the progress on our multiyear cost reduction program as well as some favorable timing items. SG&A expense of $87 million was down versus the prior year due to cost reduction actions and lower incentive compensation expense. Adjusted operating income for the third quarter was $39 million versus $45 million a year ago. The adjusted operating income ratio to sales has been impacted by the lower volumes deleveraging our SG&A costs. Now let's turn to our segment results for the third quarter. In the Americas segment, comparable sales declined 12%. The decline is indicative of lower demand as well as weakness in Brazil and timing for Nintendo Switch 2 accessory sales. The Americas adjusted operating income margin for the third quarter was 14.4%, ahead of last year. The margin rate in the quarter was positively impacted by cost savings. Now let's turn to our International segment. For the third quarter, comparable sales declined 7%. Underlying demand continued to be down in Europe, especially in Germany, U.K. and France, which are our largest markets. International adjusted operating income was down just over $1 million. The adjusted operating margin for the third quarter decreased to 10.2% as the lower volume more than offset the benefit of pricing and cost savings. Let's move to cash flow. As a reminder of the seasonal aspects of our business, we are a user of cash in the first half, while cash flow was positive in the second half of the year. Year-to-date adjusted free cash flow was $42 million. This includes $17 million in cash proceeds from the sale of 2 owned facilities we announced in the second quarter. In addition, we paid down our debt by repatriating cash from Brazil during the quarter. Cash flow this year is lower, reflecting the EBITDA decline as well as the significant new tariff costs paid upon receipt of goods. Our supply chain teams have done an excellent job reducing inventories, which mitigates the impact of incremental tariffs. During the quarter, we returned $7 million to shareholders in the form of dividends. Though a balanced capital allocation remains important, our primary focus will be paying down debt. At quarter end, we had approximately $271 million available for borrowing under our revolver and finished the quarter with a consolidated leverage ratio of 4.1x. Now turning to the outlook. We are reaffirming our sales and adjusted EPS guidance for the full year. We do expect sales trends to improve in the fourth quarter, led by positive foreign exchange and growth in the technology accessories categories. However, overall demand trends remain constrained due to the evolving tariff environment and cautious consumer and business spending. As Tom mentioned earlier, we expect to see greater price realization in the fourth quarter to cover the incremental U.S. tariff costs. For the full year, we expect reported sales to be down 7% to 8.5% and adjusted EPS to be within the range of $0.83 to $0.90. We expect adjusted free cash flow to be within a range of approximately $90 million to $100 million, which includes the $17 million from asset sales. We anticipate a net leverage ratio of approximately 3.9x at year-end. While the current environment poses challenges, we remain confident in the long-term future of our company and our ability to navigate this dynamic period. We have no debt maturities until 2029 and a long history of productivity savings and cost management. Our strategy continues to focus on repositioning the company to grow sales modestly from organic and inorganic initiatives and consistently generate solid cash flow. Now let's move on to Q&A, where Tom and I will be happy to answer your questions. Operator?
Operator: [Operator Instructions] Our first question comes from Joe Gomes with NOBLE Capital.
Joseph Gomes: Thomas, the first question I want to ask here is, you mentioned that you're confident see improvement in the fourth quarter. And just seeing what's going on here, you read the headlines. I just want to know what underpins your confidence for fourth quarter?
Thomas Tedford: Yes, Joe, that's a good question. So there are a number of data points that we've reviewed and are improving confidence is because of those. So let's start with, first, our technology accessories business. It represents roughly 20% of our total portfolio, and it has been modestly down in the quarter in aggregate, and we expect that to return to growth driven by 2 things. First is the holiday season and our support of the Switch 2 launch from Nintendo. We're seeing really good momentum in that business as we transition from Q3 to Q4 and feel confident that it will grow in the quarter. Secondly, our end user pipeline and our new product development product launches from our Kensington business is far more robust in Q4 than it has been in Q3 and previous quarters this year. So those 2 pieces of business, again, represent roughly 20% of our total, and we feel confident that both will return to growth in the quarter. The second point I'd like to just make sure you understand is our pricing actions took longer to implement than we had anticipated. And so whatever that we thought was going to happen in Q3 has simply just shift from a timing perspective. The quantification of that is a little difficult to nail down, but we do believe that there was a significant shift into Q4 from Q3 from price. And then finally, we had some timing of orders that shifted from Q3 into Q4. Those aren't immaterial. And those 3 things give us confidence that we can improve the rate of decline in the quarter.
Joseph Gomes: Okay. And you mentioned in your opening remarks about trade down in some categories. I wonder if you could give us a little more color on that. Are we seeing a heightened competitive environment, just consumers trading down because of the economy or kind of maybe a little more color there, please.
Operator: [Technical Difficulty]
Thomas Tedford: Joe, sorry about the disconnect. I'm not sure what happened, but I just want to make sure that I address your question. You had mentioned that we're seeing trade down and that is a true statement. We are seeing some trade down really across most of the geographies that we compete in. The good thing is, is we are well positioned from a brand portfolio perspective to capitalize sales as the consumer trades down. We have brands that serve the consumer in most of our categories that service each of the price points but it does impact top line sales and has a modest impact on profitability as well.
Joseph Gomes: Okay. Great. And then just one last one here for me, Tom, if you may. So in the press release, you're talking about the new product launches, and also evaluating strategic opportunities that align with the growth objectives. Are we talking additional acquisitions here? I just wonder if you can talk a little bit more about what the strategic opportunities may be.
Thomas Tedford: Yes. So it's another good question. We're always looking for accretive acquisitions, highly synergistic opportunities that present themselves that reposition our product portfolio into faster-growing either categories or channels or markets, right? Those are things that we're constantly evaluating. We also look at other things like licensing agreements with key licensors, expansion of OEM relationships. So each of those are important, and each of those are under review, and we're using all of our tools that we can to accelerate sales.
Operator: Our next question comes from Greg Burns with Sidoti.
Gregory Burns: It sounded like the back-to-school season got off to a slow start in Brazil. Have you seen any pickup there as we move into this quarter?
Thomas Tedford: Yes. So our results are -- it's still early in the season. I would say they're fairly consistent with our expectations. We expected the season to start slow. We expected customers to defer purchases later into the quarter, and that's basically what we're seeing play out.
Gregory Burns: Okay. And then in terms of the trade down dynamic, I know you have kind of good, better, best pricing price points in the market. But how do you manage that without cannibalizing maybe your higher end product lines? Like are all the products sitting in the same -- on the same shelves next to each other? Like how do you account for that maybe not cannibalizing yourself within the market with some of these new products like the Mead product line you mentioned?
Thomas Tedford: Yes. So it's important to note that when we introduce new products, we do so that are mostly at greater than fleet gross margin averages. Now that's not always the case, but in most instances, that is. And so as we introduce these new product lines, they should be incremental gross margin rates to the company. Cannibalization is a difficult thing to avoid when consumers are trading down and you have such a broad product portfolio. We believe that we offer tremendous value in our price points and in our products. And the consumer choice is obviously dependent on a lot of different things. But we're there, and it's great to have an ACCO Brands presence for that consumer on shelf when they are making their choice. I think back-to-school in the U.S. is probably indicative of that, where we saw both our Five Star brand, which is our premium brand in the category and our Mead brand, which is our value brand in the category. They both took market share this season. I think that just gives you some illustration of the strength of the brands that we offer in the categories that we compete in. And we feel like that's the appropriate approach for our business.
Gregory Burns: Okay. And then in terms of -- I think you mentioned syndication, but do you feel like you're in all the right spots from a distribution perspective? Is there -- are there any opportunities to either expand or optimize your distribution network to maybe stimulate some more sales growth?
Thomas Tedford: Yes, Kevin, good question. We do. We think there's opportunities outside our current channels. We actually like certain verticals, and so we're shifting some of our product focus to verticals like health care, for example. Our Kensington business has a good, strong end-user selling organization that we think we can better leverage in the future. But certainly, channel expansion, geographic expansion is an important part of our go-to-market strategy.
Operator: Our next question comes from Kevin Steinke with Barrington Research.
Kevin Steinke: Just following up on the North America back-to-school discussion. Obviously, you talked about the cautious buying patterns by retailers and minimal inventory replenishment. I mean, is that also an indication of a softer consumer sell-through or pull-through? And how meaningful was product trade down in the North American back-to-school season?
Thomas Tedford: Sure, Kevin. That's a really good question. So our products sold through at or better than our customer targets. So from that perspective, we had a really strong season. Our supply chain responded incredibly well through all the disruptions of country of origin and tariffs. We supported our customers throughout. So we were in stock on time, and we supported them with modest late season demand as well. So we think we're well positioned as we transition into 2026 because of the strong supply chain management and sell-through of our product this back-to-school.
Kevin Steinke: Okay. That's good to hear. So you mentioned the revenue that got pushed out of the third quarter. I don't know if there's any we characterize how meaningful that is in terms of that shift to the fourth quarter?
Thomas Tedford: Yes, I don't know that that's something that's easily defined for us publicly. I think we have a fairly good understanding of it internally. But there's also other dynamics that could come into play. But we do see the orders. They were sizable enough for us to call them out, obviously. But I think we would refer commenting on the specific size because of the other things that may happen in the quarter.
Deborah OConnor: Yes. And it was one of the factors that really just made us miss the low end of the guidance, if you think about it that way.
Kevin Steinke: Okay. And the slower implementation of the tariff-related price increases, you talked about those benefiting the fourth quarter. Again, any sense as to how meaningful those are either on a percentage basis, perhaps?
Thomas Tedford: So we went to market with roughly mid-single-digit price increases. So each of those get negotiated with our customers, the implementation gets negotiated, et cetera. We want to ensure that our products are fairly priced on shelf that we don't do anything inadvertently to the demand of our products. But the price increases that we took to market and then have been accepted or mid-single-digit increases.
Kevin Steinke: Okay. And then just one last one. You obviously sound optimistic about Kensington and the robust product launches coming in the fourth quarter. Can you just characterize the type of products that you're launching and what gives you enthusiasm that's going to benefit your sales in the fourth quarter?
Thomas Tedford: Yes. Product launches are slow to adapt. That's more of a longer-term benefit. What gives me great enthusiasm is the strength of our pipeline. Our pipeline is large. Our close rate is good. We get a significant amount of our revenue in the Kensington business from end-user deals that our salespeople partner with the trade and channel to develop, and that pipeline is extremely robust. So the new products are being launched in conjunction with a very robust pipeline in Q4.
Operator: [Operator Instructions] Our next question comes from William Reuter with Bank of America.
William Reuter: Just a couple for me. The first is, I was curious, you mentioned about opportunity to move into new channels. I guess, are you overexposed to some channels such as pharmacies that are experiencing a lot of closures and kind of have shifting sales mix between different channels been one of the headwinds to revenues in North America?
Thomas Tedford: No. First of all, our business in the channel that you mentioned is relatively small. In fact, it's small on a total percentage basis. But we do see opportunities, as I mentioned, in verticals more so than channels. We think that developing businesses in growing verticals is an important part of our strategy. Developing relationships with the end user is an important part of our strategy. From a channel perspective, I think we've got the appropriate balance for the business here in North America. We have a keen focus on e-commerce, and that is our largest channel, mass retail and then specialty superstores, kind of follow-up behind that. And then you've got the office independent dealers and wholesale channels. So those are kind of the key channels for us in the North American market that we sell product through. And on the tech side, obviously, we sell through tech distributors. So we think we have a fairly balanced channel approach. Where we see opportunities is, frankly, in value in user deals, and that's where our focus is at the moment.
William Reuter: Got it. And then with regard to your price increases that were related to tariffs, did you generally pass those through on a dollar-for-dollar basis? Your gross margin percentage was up. I know that's probably some of your expense savings initiatives. But I guess, was that the goal with those price increases that pretty much the dollars are passed through?
Deborah OConnor: That was the goal, Bill. I will tell you, though, like we said in the third quarter, we didn't get all the pricing in. So the majority of that improvement in the margin in the quarter really relates to our footprint rationalization and some other cost reductions that we did up in COGS as well. This time, this year, about half of our savings are in COGS and about half are in SG&A. So we're really seeing a benefit from the cost takeout.
William Reuter: Got it. And then just lastly for me, and I know this is difficult and someone kind of already asked it, so there might not be much more to add to it. But I feel like macro conditions in Brazil are pretty challenged, and I feel like a lot of consumer products companies are having difficulty there. I guess what gives you that confidence? Have you seen in the last week that you have seen an acceleration and improvement in trends? I know it's early for back-to-school, but I guess I'm surprised if there's not a little more caution in your tone.
Thomas Tedford: Yes. If that came across, then that's not the case. Obviously, we are closely monitoring the developments in Brazil. We watch our order entry, our order input from the market. It's improved slightly from the third quarter, but it's still early in our back-to-school season, and we're predominantly a back-to-school business there. And so we don't want to draw any conclusions on the season, but we certainly see all the things that everybody else is speaking of and are cautious in terms of our spending there, in terms of our production and inventory there. Our customers are being cautious with their inventory purchases. But we have seen some modest improvements in trend over the last 4 to 5 weeks.
Operator: We currently have no further questions. So I will hand back over to Tom for any closing remarks.
Thomas Tedford: Thank you, everyone, for joining us. While the third quarter results were mixed, we executed well against our strategic initiatives and do expect sales trends to improve in the fourth quarter. I remain confident that our proactive actions are better positioning us for long-term growth. We appreciate your interest in ACCO Brands and look forward to talking with you when we report our fourth quarter and full year results in February.
Operator: Thank you very much, Tom, and thank you, everyone, for joining. That concludes today's call. You may now disconnect your lines.